Operator: Good day, and welcome to the American Woodmark Corporation Fourth Quarter Conference Call. Today's call is being recorded.
 The company has asked us to read the following Safe Harbor Statement under the Private Securities Litigation Reform Act of 1995. All forward-looking statements made by the company involve material risks and uncertainties and are subject to change based on factors that may be beyond the company's control. Accordingly, the company's future performance and financial results may differ materially from those expressed or implied in any such forward-looking statement. Such factors include, but are not limited to, those described in the company's filings with the Securities and Exchange Commission and the annual report to shareholders. The company does not undertake to publicly update or revise its future -- excuse me, forward-looking statements even if experience or future changes make it clear that any projected results expressed or implied therein will not be realized.
 At this time, I would like to turn the call over to Glenn Eanes, Vice President and Treasurer. 
Glenn Eanes: Good morning, ladies and gentlemen, and welcome to this American Woodmark conference call to review the results of our fourth fiscal quarter and full year results for fiscal year ended April 30, 2012. Thank you for taking time to participate. 
 Participating on the call today from American Woodmark will be Kent Guichard, Chairman and Chief Executive Officer; and John Wolk, Chief Financial Officer. John will begin with the review of the quarter and the year, concluding with an outlook on the future. After John's comments, Kent and John will be happy to answer your questions. John? 
Jonathan Wolk: Thank you, Glenn. This morning, we released the results of our fourth quarter of fiscal year 2012 that ended on April 30, 2012. Our earnings release contained the following highlights. 
 Net sales for the fourth quarter were $136.2 million, representing a 10% increase over the prior year's fourth quarter. Net loss excluding restructuring charges was $2.3 million or $0.16 per diluted share, including the impact of a write-down of slow-moving inventory related to the re-layout of the company's manufacturing plants of $0.7 million after tax. Excluding this item and the restructuring charges, the net loss was $1.6 million or $0.11 per diluted share.
 The prior year's fourth quarter net loss of $3.4 million or $0.24 per diluted share included the impact of 2 items: an adverse tax basis adjustment of $1.4 million and a net of tax gain of $0.6 million from the sale of a previously closed manufacturing plant. Excluding these 2 items, the prior year's fourth quarter net loss was $2.6 million or $0.18 per diluted share. So exclusive of unusual adjustments and restructuring charges, the net loss improved by approximately $1 million or 39% from prior year levels.
 For the entire fiscal year ended April 30, 2012, net sales were $515.8 million, up 14% over prior year. Net loss excluding restructuring charges was $10.8 million or $0.76 per diluted share compared with the net loss of $20 million or $1.40 per diluted share in the prior year. Excluding the items I just described, net loss excluding restructuring charges and unusual items improved from $19.2 million in the prior year to $10.1 million in fiscal year 2012.
 Last December, we announced several restructuring items to reduce the company's manufacturing capacity and cost structure. These items included permanently closing 2 manufacturing plants, placing a previously closed plant up sale and realigning the retirement program. The 2 plants ceased operations in April and May of 2012, respectively, and the retirement plans were modified as of April 30, 2012, as planned. The company's results for the quarter and entire fiscal year ended April 30, 2012 included restructuring charges related to these initiatives. The net of tax impact for the fourth quarter was $3.6 million or $0.25 per diluted share and for the 12 months was $10 million or $0.71 per diluted share.
 Including these charges, the company's results for the fourth quarter of fiscal 2012 were a net loss of $6 million or $0.42 per diluted share and for the fiscal year 2012, a net loss of $20.8 million or $1.45 per diluted share.
 When we commenced fiscal year 2012, we provided 5 assumptions about market activity: first, that job growth would average 200,000 per month; second, that consumer confidence would slowly improve; third, that total housing starts would approximate 625,000; fourth, that the remodeling market would be neutral to slightly positive; and fifth, that our remodeling customers would experience sales comps in line with the market. Although total housing starts slightly exceeded our expectations, most of these metrics and, importantly, the overall tone of the housing market fell shy of our expectations.
 Private sector job creation started the fiscal year off in a lull, picked up in the middle of our fiscal year and then lost momentum at the end of our fiscal year. All told, 2 million jobs were created, but this was 15% less than we expected.
 Consumer sentiment as measured by the University of Michigan averaged 71 in fiscal year 2011 and was trending upward when we stated our expectation for an improvement in fiscal year 2012. Unfortunately, confidence was severely hit last summer by the debt crisis and never fully recovered, averaging a decline of 3 points during our fiscal year 2012. 
 Total housing starts did slightly exceed our expectation, with an increase of 17% to 647,000 starts. However, the primary driver of this metric was multifamily starts, which do not significantly impact our company. Single-family housing starts rose by a much less robust 4% to approximately 450,000 during fiscal year 2012.
 As for the remodeling market, total sales reported by members of the Kitchen Cabinet Manufacturers Association were flat during the company's fiscal year. Since these results include both new construction, which increased, as well as remodeling, this indicates that remodeling was not at least neutral as we had expected. Since remodeling comprises the largest segment of our market, missing on this assumption essentially indicates that the overall market for cabinetry was roughly flat, contrary to our expectation for an improving market. 
 Fifth and finally, our largest remodeling customers' results have essentially tracked with the cabinet remodeling market. These results also fell short of our expectation that our customers would perform slightly better than a remodeling market that, unfortunately, has not yet improved.
 Recognizing that the remodeling market for cabinets is not yet increasing, the company's largest remodeling customers and its competitors have continued to maintain the elevated level of sales promotions that have persisted for the last 1.5 years in the form of free products and additional discounts based upon the amount of sale. To maintain its market share, the company has attempted to ease its promotional offering somewhat compared with the prior year with the goal of continuing to be competitive and generally less extreme than some of its competitors. However, to remain competitive, the company did experience higher promotional costs than in the prior year's fourth quarter.
 As expected, the company's remodeling sales declined by mid-single-digits in the second half of the fiscal year after experiencing double-digit growth in the first half of the fiscal year. 
 For the fiscal year taken as a whole, the company's remodeling sales improved at a mid-single-digit rate in a market that was somewhat down. The company's new construction sales continued to exceed its expectations, improving by more than 30% during the fourth quarter and by more than 25% for the fiscal year in a market where both total and single-family housing starts grew at a far lower rate.
 The company's gross profit margin for the fourth quarter and entire fiscal year 2012 were 12.7% and 12.9% of net sales, respectively. Gross profit margin was less favorable than the prior year's fourth quarter of 13.2% but exceeded the 11.7% generated in the previous fiscal year. Gross profit declined by 0.5% of net sales during the fourth quarter despite the 10% improvement in net sales. Gross profit was reduced by 0.8% of net sales in the fourth quarter by the inventory write-down, by 0.4% of net sales for increased promotional costs, by inefficiencies involved in performing its restructuring efforts, and by higher materials and freight costs. The combined impact of these items more than offset the favorable leverage from higher sales volumes upon labor and overhead costs.
 The company realized modest overhead cost reduction related to its plant closure activities during the fourth quarter, but these savings were more than offset by the cost to affect the transition.
 Total operating expenses were significantly improved, at 15.2% of net sales in the fourth quarter compared with 16.5% in the prior year's fourth quarter and 16.2% of net sales for the entire fiscal year compared with 18.5% in the prior year. 
 Selling and marketing expenses were 10.4% of net sales in the fourth quarter of 2012, significantly improved from the prior year's 12.1%. Sales and marketing expenses improved to 11.3% of net sales during the entire fiscal year compared with 13.5% in the prior year.
 Selling and marketing costs decreased by $0.9 million or 6% in the fourth quarter on a sales increase of 10%. Although the breadth of the company's recent product launches have been in line with those of prior year, efficiencies from lower marketing collateral and branding costs as well as reductions in product display costs have more than offset increases in compensation and travel costs.
 General and administrative expenses were 4.8% of net sales in the fourth quarter of fiscal year 2012 compared with 4.4% in the prior year's fourth quarter. G&A expenses were 4.9% of net sales for the entire fiscal year compared with 5.0% at the prior fiscal year. G&A costs were generally flat, but a higher amount of performance-based compensation was responsible for the fourth quarter's increase, compared with the reversal of previously accrued incentive compensation costs in the prior year's fourth quarter.
 The company's restructuring initiative have resulted in the permanent closure of 2 of its manufacturing plants and a realignment of its retirement program, which included the freezing of its pension plans effective April 30, 2012. Management made these difficult decisions based upon its assessment of expected conditions in the housing market for the foreseeable future. Management believes the company will continue to have ample production capacity to aggressively participate in the housing market's recovery. As a rough guide, management estimates that the company's remaining hard manufacturing capacity is sufficient to service incremental sales growth of approximately 50% without having to make significant capital additions. 
 The company recognized pretax restructuring charges of $10.3 million in its third quarter and $6 million in its fourth quarter of fiscal 2012 related to these initiatives. Of the total $16.3 million in pretax charges recognized to date, noncash asset write-downs comprised approximately $11.1 million. The company expects that less than $1 million of pretax restructuring charges remain to be incurred in the future relating to these initiatives. 
 The company continues to expect that pretax savings of approximately $18 million per year will be realized or roughly $4 million to $5 million per quarter. The company further expects that the amount of savings realized during the first quarter of fiscal year 2013 will be roughly 2/3 of this level as the remainder of the transitional efforts are completed.
 The company's total outflow for capital expenditures and promotional displays deployed during the fourth quarter of fiscal 2012 was $2.4 million, on par with $2.7 million expended in the prior year's fourth quarter, excluding $1.5 million in proceeds received in the prior year from the sale of a building.
 Total capital outflows for the entire fiscal year 2012 were $10 million, compared with $8.4 million in the prior fiscal year before $2.9 million in prior year proceeds from the sale of 2 buildings. Excluding the building sales, gross capital outflows increased by $1.6 million or 19%, driven by a machinery enhancement that helped to enable the recent plant closures to occur.
 The company generated operating cash flow of $2.5 million during its fourth quarter of fiscal year 2012 compared with $5.5 million in the fourth quarter of its prior fiscal year. The decline was driven by payments aggregating approximately $1 million for restructuring activities, the resumption of funding pension plan contributions, and the timing of cash receipts and disbursements.
 The company's operating cash flow for the entire fiscal year grew by $2.9 million in fiscal 2012 or 21% over prior year, despite receiving $7 million less in income tax refunds and funding an incremental $2.9 million of pension deposits and $1 million of restructuring activities. Excluding the cumulative $11 million of adverse changes relating to these 3 items, the company's operating cash flow improved by approximately $14 million over prior year, driven primarily by the reduction in its operating loss. 
 The company generated free cash flow, defined as operating cash flow net of cash used for investing activities, of positive $0.3 million during the fourth quarter of fiscal year 2012 compared with positive $4.3 million in the fourth quarter of its prior fiscal year. The decline was related to the factors which caused operating cash flow to decline as well as to the absence of $1.5 million of prior year building sale proceeds.
 For the entire fiscal year, the company generated positive free cash flow of $6.1 million compared with positive free cash flow of $7.7 million in the prior fiscal year. The company expects to continue to fund its capital spending from a combination of operating cash flow and existing cash on hand.
 The company's financial position remains outstanding. The company ended the quarter with a total of $73.7 million in cash, cash equivalents and restricted cash on hand compared with long-term debt of $23.8 million.
 During the quarter, restrictions were removed on approximately half of the $14 million previously classified as restricted cash, leaving a year end restricted cash balance of $7.1 million. And debt to capital was 15.5% at April 30, 2012.
 In closing, we continue to manage the business with the objective of delivering superior customer experience, which in turn delivers long-term value for our shareholders. We have chosen to continue to invest in a number of initiatives, including improving the quality and breadth of the company's products and services, in maintaining elevated promotional activities to remain competitive with competitors' offerings and sustain our market share gains in a challenging market, in expanding channels of distribution that we have previously not previously emphasized and in maintaining a reduced but still significant capability for future growth as market conditions improve.
 Management remains focused on maintaining the strength of its industry-leading balance sheet. Despite experiencing net losses, the company has operated at near-breakeven free cash flow levels for 11 consecutive quarters and generated positive free cash flow in fiscal years 2011 and 2012. The company's fourth quarter sales increase marked its eighth consecutive quarter of year-over-year sales growth, the first time this has happened in several years. However, consumer confidence and market conditions remain uncertain and difficult to predict. We continue to expect that market activity will eventually return to its historical norms of 1.25 million to 1.4 million new households and 1.5 million new total new housing starts per year. However, in the short term, many consumers remain unwilling or unable to make large-ticket purchases because of lower home prices, availability of credit or because they simply lack confidence.
 Market conditions have been changing. Instead of a market that is flat to down in both the remodeling and new construction segments, we now have a new construction market where total housing starts have experienced year-over-year increases in 10 of the last 11 months, and single-family starts have increased in 5 of the last 6 months. Rental rates are rising as vacancy rates decline, and inventories of both new and existing homes for sale are at their lowest levels in several years, while mortgage rates remain at historic lows. Although evidence suggests that existing home prices have continued to decline, the company expects that home prices will finally bottom and begin to slightly increase during its fiscal year 2013. The company expects that cabinet remodeling sales in the overall market will follow the direction of existing home prices and, therefore, expects that market remodeling sales will be roughly flat during its fiscal year 2013.
 New construction starts have moved positively, in line with an improving economy and job creation. Although the direction remains positive, momentum may now be slowing as we move towards summer, much as it did last year. Against this backdrop, the company expects that single-family housing starts will grow at a mid-single-digit rate during fiscal year 2013.
 Having described our expectations for the market, I will provide our expectations for company-specific performance. 
 The company's remodeling sales declined at a mid-single-digit rate in the second half of fiscal year 2012, roughly in line with the market. The company expects that its remodeling sales will continue to track the market in fiscal year 2013 and, therefore, be relatively flat in terms of units. The company gained market share in the new construction sector during fiscal year 2012, with sales growing by more than 25% in a market where total housing starts grew by 17% and single-family housing starts grew by 4%.
 The company expects that its new construction sales will grow at a high-single-digit rate in a market that figures to grow a bit slower than that. The company believes there is potential for its realized sales price to improve through a combination of modest sales mix and pricing improvements. Overall, the company expects that its sales will grow at a mid-single-digit rate during fiscal year 2013. 
 The company's operating loss, exclusive of restructuring charges, was $17 million in fiscal year 2012. The company continues to expect that the savings realized from its restructuring will approximate this amount, creating the ability to break even absent any sales growth. Because the company does expects some sales growth, as I have described, we believe the company has a good chance to return to profitability during its fiscal year 2013.
 Tempering these expectations, however, are the impact of rising material costs, particularly for hardwood lumber, plywood, particleboard, and paint and finishing materials.
 This concludes our prepared remarks. We'd be happy to answer any questions you have at this time. 
Operator: [Operator Instructions] And we'll go first to David MacGregor with Longbow Research. 
David S. MacGregor: I guess a few questions here. First of all, I wonder if you could just talk about the revenue growth. You're up 10%, 9.7%. Can you just break out the volume versus price mix? 
Jonathan Wolk: Yes, that was primarily volume, as it's been all year, but there was a little bit of mix that helped the net price [ph] realized. 
David S. MacGregor: Okay. And I guess you made the distinction between multifamily and single-family. I know you've always historically been kind of a business targeting the single-family. Is there a plan in place to develop a multifamily product offering? 
Kent Guichard: Yes, this is Kent. The historical definitions of single and multi are starting to blur a little bit because of attached housing, whether it's townhouses or other types of developments. To us, it's not so much product line. You can get into some elements of multi-unit housing that are HUD-related or have other specific requirements. But generally speaking, the product line that we would put in place isn't any different. It's just a question of targeting and putting together service platforms that kind of go after that unique segment of the market. So from that standpoint, there isn't anything that we have to do really on the product side to participate more in that. We are participating more, again, in the sense of townhomes and those types of things. If it continues, and as Jon mentioned, we had kind of a pretty good increase in the building activity along about February going into March and early April. And talking with our single-family customers, they expect a reasonably decent year, particularly as we look forward to the next 6 months. So on the new-construction side of our business and our capacity over that period to actually deliver our product on the service platform, we think that we're going to have to kind of a full plate, quite frankly, to keep up with our single-family partners and are not at this time looking to do any more than we would normally or are already doing through channels with the multifamily. 
David S. MacGregor: So if I understand you correctly, you've got product. It's probably the low-end Timberlake product, the Value Builts. But you need distribution. Is that what it would require is an investment in distribution, the sales force, feet on the street? 
Kent Guichard: There's a little bit of that, because it is a very unique -- you're dealing with a different group of people when you do that. You're dealing with more of the big GCs. You may be dealing with architects. So you're a different part in the process to get your product in there. Once you get it in there, going into a single-family home logistically is very different than going into a high-rise with -- pick your number of units, 20, 30, 100 units, whatever it is. So that's the real difference. It's up front -- the effort and the involvement up front in terms of getting into development, getting into plans, working with the architect and the GC. And then on the back end, there are some very different service requirements, because you're not pulling up to just a street address with a house on it. You're going into a construction site that is many floors and has many different units on it. 
David S. MacGregor: I mean, you're sitting there with a large amount of cash.  There are people out there that specialize in multifamily and have a strong presence in that niche.  Would you ever consider an acquisition to establish a presence there? 
Kent Guichard: No, not really. And then again, when you get to your point that when you start to break down that market, there are certain segments of the market that even longer term, we just don't think is a great fit for us. The ones that we do think are a fit we're trying to get through, through some of our existing channels. But as I went back and mentioned, for that element of our product line and our capacities that make the product that generally goes in a new construction, in dealing -- in talking with our current partners of single-family homes, we think that our effective capacity over the next 6 months, maybe a year, is going to be -- all of it is going to be needed to service our existing single-family customers. 
Operator: And we'll go next to Sam Darkatsh with Raymond James. 
Joshua Wilson: This is Josh filling in for Sam. I just wanted to dig into the gross margin a little bit more. You mentioned several items that had an effect in the quarter. Could you give us a sense of how those broke down or which ones were bigger or smaller effects? 
Jonathan Wolk: The 2 biggest ones were the inventory write-down and then the transitional impacts from closing the 2 facilities and moving work around. 
Joshua Wilson: Okay. And do you expect that there will still be a headwind from the restructuring and inefficiencies in the coming quarter, or is that pretty much past? 
Jonathan Wolk: Well, as I said in my comments, we do expect that we'll get about 2/3 of the benefit from the transition during the first quarter, so that would imply that we do still impact -- expect some lingering efforts. As I also mentioned, one of the plants was closed during the month of May, so the transition was continuing into the early part of the first quarter. 
Joshua Wilson: Okay. And then you talked about the promotions a little bit. I just want to make sure I understand. You said there was more promotional activity year-over-year, but it was down sequentially, correct? 
Jonathan Wolk: It was actually up a little bit sequentially, and it was up year-over-year. It's down from a couple of quarters ago, and we're trying to drive it downward. But we're certainly subject to market forces. 
Joshua Wilson: So you would say the trend is towards more promotional going into the fiscal year '13, then? 
Kent Guichard: No, I would -- I mean, I think you've got some, and what Jon's talking about, it's hitting the quarters. If you've kind of start to just look at it over time, over selling seasons and those types of things, we really saw the latest big increase really happen 1.5 years ago. It was in the fall of 2010 when some of the competitors in the marketplace really kind of increased it. Since that time, in and out, it's been relatively flat. Again, we and our competitors make choices about when you're in and when you're not in, so it can impact different quarters in different ways. What I would kind of say is that the promotional level on the remodel side has been relatively flat since the big increase you saw about 1.5 years ago. We don't see it at this point getting a lot worse in the marketplace, but we also don't see it getting any better. It's kind of steady state. 
Jonathan Wolk: Just a quick detail question. I noticed a fairly substantial increase in your payables and accrued expenses. Is that due to the raw material inflation, or is there something else there? 
Jonathan Wolk: No, it's just timing. 
Operator: And we'll go next to Robert Kelly with Sidoti. 
Robert  Kelly: In your prepared remarks, you ran through some items as far as drag on the gross margin. And I thought you said, was it the transitional impact was 40 basis points or the promotional expenses was 40? 
Jonathan Wolk: Promotional. Promotional expenses, yes. 
Robert  Kelly: And did you quantify the transitional impact? 
Jonathan Wolk: No. 
Robert  Kelly: Is the expectation for F'13 that you continue to see a similar level of promotional expense? Or the fact that you see price mix getting slightly better, are you counting on the promotional environment to get a little bit -- or to ease a little bit? 
Kent Guichard: No, our assumptions are what's kind of inherent. And Jon's comments is, we expect the promotional activity to kind of, again, continue for what it's been for the last 1.5 years, thereabouts. Again, you'll get some ebbs and flows depending on timing and when our customers close out their promotions. It is a very promotionally driven environment. And so you get a disproportionate amount of your order rate in the last, literally, 24 to 48 hours of closing out promotions. And so if a promotion rolls from one quarter to another and depending on how that rolls through your system, it can have a significant impact. So you may, quarter-to-quarter, see some changes, but we think that next year, we'll probably going to be about level in terms of what we -- we're currently running. 
Robert  Kelly: Okay. And then as far as the price mix commentary being positive or slightly positive for your fiscal '13, is that because the builder thesis is picking up? How do we think about that? 
Kent Guichard: Well, I think it just goes in the mix, and our product of mix -- in our product mix, whether it's the new stuff that we are introducing or the way that you actually put incentives out there for the customer, we think that encourages a richer mix of product, either in going up price points or putting more features and options within the product. The other thing that we are seeing that has started to reverse, and we [ph] do it on both sides, but we have started to see is that the consumers that are active are buying a richer mix. So we're seeing the square footage, for example, in new construction, the square footage is starting to increase again, not by a lot, but the square footage of a new -- the average new house has been going down for several years. It's starting to go back up again, and that's kind of a reflection of the people that are active in the marketplace. They're out there because they want to either buy a house or redo their kitchen. They do have some resources. The consumers that are -- we'd like more of them out there. There aren't enough that are active. But the ones that are active are not as budget-constrained or maybe as budget-conscious as they were a couple of years ago. And so when we are selling a kitchen, whether it's new construction or remodel, we're getting more features and options, more upgrade price points. In terms of doors, they may go from a veneer door to a solid door. They may put a premium finish on it. And so the actual consumer that's active is buying a richer mix. 
Robert  Kelly: Okay. That's encouraging. And then just one point on the balance sheet. The inventory number for the past 2 quarters is one of the lowest we've seen in years, and the benefits from your logistic and plant closure actions have really yet to be felt yet. I mean, should we assume this type of term rates inventory actually get better as the actions are implemented? 
Jonathan Wolk: I think you can assume that inventory turns will sort of level out at the level that we're at right now. It's possible we could have incremental improvement from here, but I think it's safe to assume that we're in this range. 
Robert  Kelly: But this rate is where we should be.  Okay. 
Operator: And we'll go next to Morris Ajzenman with Griffin Securities. 
Morris Ajzenman: A follow-up to the question you've been getting here on the gross margins, particularly in this fourth quarter. You reported 12.7%, and then you highlighted impacting -- it was impacted by inventory write-downs as well as inefficiencies from the company's restructuring efforts. Can you give us some handle on what that 12.7% would have been on a pro forma basis, on a clean basis?  And then secondly, your gross margins I think for the full year were 12.9%, and you all guesstimated and you gave us a number there earlier that in fiscal '13, revenues are unchanged. You should be close to a breakeven level, whatever. Can you guys give us some sort of handle on what sort of gross margins assuming the same competitive landscape remains that gross margins can improve to? 
Jonathan Wolk: Yes, Morris, we haven't given specific guidance for the fiscal year '13, and we don't intend to do that. But I think that if you run the math, you can probably derive that. In terms of the fourth quarter gross profit, we did call out and quantify the specific impact of the inventory write-down. The transitional costs were a little bit harder to measure. They hit us in a few different areas, so we haven't specifically quantified or called that out. So no, I don't have that for you. 
Morris Ajzenman: Okay. One last question. Based on the plant closures here, you said you could increase sales ultimately by 50%, which means capacity utilization is probably about 65% or thereabouts currently. If that's correct, what sort of incremental operating margins can you get as your capacity utilization increases? 
Jonathan Wolk: Well, again, for competitive reasons, we're not going to provide -- not going to guide to that. But I think as a guide, you could look back to historical performance where we've levered sales and probably get a pretty decent idea. The other thing I'd say is that because we have made some efficiencies into the system, we should do a little bit better than that going forward. 
Operator: And we'll take our next question from Peter Lisnic with Robert W. Baird. 
Peter Lisnic: I guess, first question, if you could just refresh us on capital allocation priorities and strategies. Any change in how you're thinking about the dividend given the balance sheet being in good shape and the cash flow you're generating and then how buyback might fit in as well? 
Kent Guichard: No, really no change from a couple of quarters ago when we announced it. I think there still is significant uncertainty out there in the world. We all read, obviously, the papers every day, and you can start in Europe and come this way. Most recently, probably the one [indiscernible] this week was the jobs report. So there's still a tremendous amount of uncertainty out there. As Jon mentioned, we do think that the market will improve slightly in fiscal '13. Our primary improvement is going to be coming from the cost actions that we took, the restructuring actions. So we're not out of the woods yet from a market standpoint. And because of that, the rationale that led us to spend the dividend, I think, is still there. I don't think that that's changed much. In terms of the buyback, again, as we said, when we get to the point, any point where we feel that we do have some cash that's excess related to not only our plans, but the potential for downside in the marketplace, and the prices where we think it's attractive on behalf of the shareholders, then we'll go out and we'll use some of the authorization that we have. But that's kind of a long way of saying really no change from where we were a couple of quarters ago. 
Peter Lisnic: Okay. That is perfect. And then Jon, just quick -- couple of quick ones on cash flow. Any sort of pension funding required for '13? And then, I may have missed it, but the CapEx outlook for '13 would be helpful as well. 
Jonathan Wolk: Yes, Pete. We expect that the CapEx requirements or funding will probably go up about $3 million to $4 million. And the pension funding requirement will increase by about $4 million above what we funded in fiscal year 2012. 
Peter Lisnic: So it's an incremental $4 million on top of the $3-ish million or so in the '12? 
Jonathan Wolk: Yes, we resumed funding as the fiscal year was rolling in. About halfway through, we really started funding that again pursuant to the schedule, so it will be a full year of funding in '13 versus a partial year in '12. 
Peter Lisnic: Okay, got you. And then on the selling and marketing as a percentage of sales, that took a pretty nice step down in the fourth quarter to 10.4%, according to my math. Just wondering kind of how that layers into the fiscal '13 outlook? I mean, in the past, you've had numbers that are closer to 10 or below 10. Presumably you'll get some restructuring savings to drive that number lower in '13, but can you give us a sense as to what the -- have you hit a new -- sort of a new level on that selling and marketing area, more efficient on that front? And just kind of where that might shake out over the longer term would be helpful. 
Jonathan Wolk: Well, I think that the way that we're looking at this is that over time the business in a decent market, in a more typical market, we'll be able to pull gross margins north of 20%, and we should be able to approach an operating margin of about 10% or so. That will take a bit of time to get there, but we feel we've got the capability to do that. So I think you'll continue to see leverage on the sales or the SG&A line, as you say, partially due to the restructuring and, hopefully, partially due to some additional sales leverage. 
Peter Lisnic: And so we should see those restructuring savings come through both on COGS -- or gross profit, I should say, and that selling and marketing line.  Is that safe to say? 
Jonathan Wolk: That's right. 
Operator: [Operator Instructions] We'll go next to Dennis McGill with Zelman & Associates. 
Scott Rednor: This is Scott Rednor on for Dennis. I was just hoping you could give us an update on your initiatives in the dealer channel and if you guys think that will be evident to the investment community in your fiscal 2013 outlook. 
Kent Guichard: Yes, our initiative continues there. We've kind of continued to refine and expand that model that we have. We now have a sales presence in most states, certainly the top 40 SMSAs, and are in the process of signing up dealers. As we look at '13 again and start to build critical mass, we think it will be noticeable, and we anticipate that we'll start to talk about it in, certainly, Jon's prepared remarks and maybe be able to share a bit more with you in any questions. In terms of magnitude of it, we think in terms of top line as we get through the year that it's probably going to be worth a couple of points, thereabouts, and will start to favorably impact as we kind of roll down through the income statement. But we think as we get -- certainly by the end, second half of '13, with our momentum in signing up new dealers and picking up business, that will actually start to move the needle on the top line. 
Scott Rednor: Okay. And that would be embedded right now in the guidance that you provided? 
Jonathan Wolk: Right. 
Kent Guichard: Yes, kind of right now, it's kind of embedded in Jon's comments on remodel, which is what it is. I mean, it's virtually all remodel. 
Scott Rednor: Got it. Great. And then just secondly for Jon, what was the motivation behind the credit amendment yesterday? You guys pretty much don't need the extra cash. But just hoping you could take us through your thoughts there. 
Jonathan Wolk: Well, unrestricted, though, is better than restricted, right? That's the motivation. 
Operator: And we'll go next to Jeff Matthews with RAM Partners. 
Jeffrey Matthews: I just wondered if you could comment on any incremental changes in the cost outlook on raw materials. 
Kent Guichard: Yes, we're -- it has been kind of ebbing and flowing. I would say that the inflationary pressure we're getting on most of our raw materials is not as intense as it was, say, in the fall. I think a lot of that is petroleum-based. We've seen a lot of pressure come off the petroleum side, so whether it's finishing materials or other things where petroleum is actually an element to the product. Or it's just the transportation of moving this stuff around. So I would say that that's -- now versus where we were 6 months ago, that's probably the big difference is that we've seen pressure come off transportation in terms of diesel and other transportation costs and anything that actually has petroleum-based kind of input into the material that we use. Having said that, the pressure that's still out there, the supply-demand pressure, as Jon mentioned, on several of our significant categories, the underlying inflationary pressure is still there. It's still there on hardwood lumber. A lot of the logs in America are going overseas, particularly to the Far East, which has created kind of a supply-demand imbalance, particularly in a couple of species. We're seeing it on particleboard, as Jon mentioned, we're seeing it on plywood, and we're seeing it on some other categories. So it hasn't gone away. I think we're kind of in a little bit of a lull. And again, I think it's driven almost exclusively by the drop in petroleum. 
Operator: And we'll go again to David MacGregor with Longbow Research. 
David S. MacGregor: Yes. If I could follow up on the raw material question, how much forward visibility do you have right now? 
Kent Guichard: In terms of raw materials? 
David S. MacGregor: Yes. 
Kent Guichard: Well, it depends on the material that we buy. For example, on lumber, we're out there in the green. We're vertically integrated, so we're out there in the green markets. We're pretty close to actually the logs. Other stuff is, obviously, down the line. But generally speaking, I would say that our window is probably 60 to 120 days, depending on the actual material and our conversations with our vendors. Again, sometimes they don't have information to pass through to us because of the chain all the way back to somebody cutting a tree down or pulling a material out of the ground. But generally speaking, we see inflation come in, again, on the category 60 to 120 days out. 
David S. MacGregor: Okay, good. The last question. Just more sort of a high-level question, but I guess going back a couple of years when we -- it's sort out of the downturn was really for us, [ph] there had been an upturn in refacing of cabinets as a sort of a consumer trend. And I was just wondering if you could update us on what you're seeing there. Is that really dying down now and people are coming back to the market for new cabinets, or is that still a competitive issue for you? 
Kent Guichard: Well, I'm not sure. I mean, I may disagree a bit with your premise. I'm not sure how much of the market that ever took. I mean, I think it's one of those things that for a certain consumer in the right place, in the right frame of mind, with everything lining up, that it probably makes sense. But it's never been a big piece of the market. It's always been a relatively small piece of the market. It's one of those things that kind of gets its share for those unique consumers because of the limitations of not being able to change the configuration of the kitchen and several other things. So I may disagree again with your premise a little bit that it was ever -- ever got to the point where it was taking a significant amount of share as it related to the industry. It gets its share because, again, there are some consumers out there that, that is just the right fit for them. But we don't see it, in terms of our overall business, we don't really see it as a competitive threat. It's a different kind of consumer. And we don't really compete with the refacing industry for most of our volume. 
Operator: And as that concludes today's question-and-answer session, I'd like to turn the conference back over to management for any further comments. 
Glenn Eanes: Since there are no additional questions, this does conclude our call. And I'd like to take time to thank you again for participating on this call. Speaking on behalf of the management of American Woodmark, we appreciate your continuing support. Thank you. Have a good day. 
Operator: And that concludes today's presentation. We thank you again for your participation.